Bernard Arnault: Good evening, everyone. It is a pleasure for me to be here with you tonight. We started by mentioning Formula One because we just signed a contract, Vuitton, MoÃ«t & Chandon, TAG Heuer for Formula One for 10 years starting this year, and I believe it is going quite impactful for other three relevant brands. Today, I'm not going to report record revenue but it was nonetheless a robust year, and I am rather confident for the year to come. Indeed in 2024, we managed to report a little bit of organic growth of our revenue despite what some of you, because there are a lot of analysts here, despite what quite a few of you expected. However, the operating income is going down but let's look at the context. There is EUR 1 billion coming from outstanding items. Besides, 2025 is starting well and I will tell you all about it in a moment. A robust year despite a challenging global environment, weaknesses in Asia, except Japan that reported strong growth, thanks to its currency. The United States uncertainty because of election year. Europe is faring quite well. But all in all, the context was a little bit more challenging. Our business groups fared well, especially Fashion & Leather Goods. We saw a lot of innovation in Watches & Jewelry, fragrance and cosmetics. We still have the two world-leading fragrances, Sauvage by Dior and Miss Dior. And in Selective Retailing, DFS retailing company in charge of distributing tax-free products was a little bit challenged by the context of the currency in its geographies, Hong Kong or Macau did not enable a lot of Chinese people to shop in these areas. There was a big gap with the Chinese currency. And yet Sephora reported exceptional growth. We're not going to give the figures directly, but a great performance from Sephora, remarkable since we bought this company. It was a while back in 1998. In 1998, it was about EUR 100 million of revenue, something close to that. And now Sephora revenues stand at more than 10x that. Let me count. Yes, a lot more. I can't give you all the figures because you would not believe them. Anyway, what I would like to say, 2024 was a little bit challenging from an economic standpoint, but we stuck to our commitment in terms of diversity, our commitment to support our employees, promoting their safety, their well-being. And we also stuck to our environmental commitments. Our environmental commitments are at the heart of our Maisons' creativity. Two major events in 2024, the Olympic Games. We were one of the main sponsors and the team in charge of the Olympic Games here, Antoine leading the team, was able to highlight our brands. And I'm sure you've noticed, they highlighted our brand in a surprising way. I did enjoy the boat on the Seine River with Vuitton suitcases. It was a first step to have an opening ceremony at the stadium, but we were able to bring some celebrities dressed by the Maisons, and it was really a hit. Now this is linked to a drop in recurring operating income because it did cost us a lot of money. And we also supported the renovation of Notre Dame. We were very proud and there's going to be a visit this week with all the employees. I do not know if you invited the analysts, maybe not. But all the employees have been invited to Notre Dame for a special tour. It's not fully open to the public but they are going to see the renovation. Back to business. Wines & Spirits, we can see that demand is normalizing. Champagne still fared well even though there was a small decrease. However, cognac and spirits reported a more substantial decrease. And in 2 years, we expect to see a good recovery, especially since we have a new team. Our CFO right here, who's been working with me for more than 20 years, who is known as a good CFO based on the ratings or because -- there are ratings for CFOs. So if I believe the ratings, he's excellent, and since he's very familiar with the Wines & Spirits business group and he is supported by Alexandre, who is very familiar with wines. I'm sure that they will support the recovery. Let's give them 2 years to see -- to show them -- let's give them 2 years so that they can show us what they can do. Now something even more important in terms of revenue, Fashion & Leather Goods, starting with Louis Vuitton. Major events, 10 years of creation by Nicolas GhesquiÃ¨re in the Louvre. Pharrell Williams Fashion Show at UNESCO at the end of last year. Great success with what we called a pop-up. It is a pop-up that's twice the size of the previous brick-and-mortar store but it is always full, many people.  And since its opening, can we talk about the revenue? Is it a secret? Well, more than twice the revenue of the previous store. So this is working quite well. A lot of new products never fully inside out, the Speedy P9 and the fantastic suitcase because Louis Vuitton is not a fashion brand. I'd like to stress that because Pietro is a fan of fashion so I always like to structure my message. Vuitton makes leather goods. They are experts in travels. It is a culture and poetry, poetry Maison. And I introduced fashion in the 1990s into Louis Vuitton, but it is -- the fashion aspect is an accessory. Our designers are not here so we can say, but we did say it when they were part of the meeting. So another major Maison, Christian Dior, fantastic fashion shows as well, one in New York, one on a cruise in Scotland. That fashion show in Scotland was fantastic. I do not know if you're familiar with Scotland, but usually, it rains and it was a miracle. The weather was fantastic for this fashion show, so that was a blessing. Then High Jewelry broke all records store in Geneva. Do go if you go to Geneva. It is quite surprising. It was designed by Christian Portzamparc. It is really outstanding and it is quite successful. And this year, during 2025, we are going to reopen the New York store and a store in Beverly Hills as well. We also have a lot of projects for exhibitions and fashion shows. In 2024, we organized a fantastic exhibition in Saudi Arabia hand-in-hand with our Saudi friends and they contributed actively. As for the other Maisons, they are also reporting good results. So Loro Piana, great success, double-digit growth. Celine, Loewe, Fendi, Marc Jacobs, Rimowa, as well that is reporting good results and Berluti. As for Fragrances & Cosmetics, certainly great contribution from this business group. We have strong momentum in Fragrances. We've got Sauvage and Miss Dior that are buoying this business. And even at Louis Vuitton, the fragrances only sold in Louis Vuitton are quite successful. I'm not going to give you any figures but you would be surprised. It is a quite high figure. As for the other fragrance brands, well Francis Kurkdjian, it's smaller but it's a fantastic creator who is also in charge of designing the Dior perfumes. He has his own brand and we are partners so it's working rather well as well. So fragrances are working well. Then moving on to Watches & Jewelry. For Watches & Jewelry, we have exceptional brand, the brands at Tiffany. A record year with its landmark in New York. In Q4 2024, they had great results. Some people said that the revenue was not very good but we did had a 9% organic growth, which is not bad. It is just as much as the largest jewelry brands. So High Jewelry revenue reported great growth. Same for Bulgari, great result there with some new connections, for example, which is being presented in the Bulgari store in Place Vendome and also in the Bon Marche so it's a great result there as well. TAG Heuer launched a new watch, Monaco. You know the Monaco watch is a square watch that was worn by Ayrton Senna when he won the Monaco Grand Prix, I forgot what year. But it is one of TAG Heuer's iconic watches. TAG Heuer is going to be the official timekeeper of all Formula One competitions for 10 years. So this is going to have a very good impact on the future. And at Louis Vuitton, we acquired a new brand, a rather interesting brand. It is called L'EpÃ©e and they design hot air balloons, various sizes, outstanding. Do go and have a look in the Vuitton flagship. It is great craftmanship, rather impressive. Last but not least, Selective Retailing. As I said in my introduction, DFS has been challenged but outstanding results for Sephora, a fantastic team. We are the first perfume and cosmetics retailer in the U.S. for Selective Retailing in the U.S. and in many countries. So we have an exceptional team. As for Le Bon MarchÃ©, so in Paris, well, they reported good results as well. Continued growth and good results for 2024. I also need to mention that throughout the year, our training program or training results were good. And the Excellence Profession Institute (sic) [ Institute for Professional Excellence ] welcomed 4,500 people at [ Kara Vuitton ] for to start a new year of training. It is going to be about high-precision craftsmanship. Different businesses will be involved, and we are going to train the best craftspeople, and the objective is to recruit them in the group at different positions. Permanent contract, short-term contract. Some trainees, but all in all, in 2025, we have everything we'll need to continue being the leader in the luxury industry. And as I said earlier, in 2025 -- well, 2025 is starting rather well with quite a few companies -- well, I mean, it is January, end of January so let's not anticipate too much, but we have quite a few companies that reported double-digit growth. Louis Vuitton, since you're here, or Tiffany, which both reported a double-digit growth since the beginning of the year. That is it. I think Mr. Guiony is now going to take the floor to tell you more about the figures. I imagine that this is what interests you more than my explanation. Thank you very much.
Jean-Jacques Guiony: Good evening. A couple of figures for you that you can see on the screen. These are the major trends for the year. As Mr. Arnault has said, revenue is fairly stable on organic growth, for instance, and operating income is impacted by the difference between organic growth and impact, minus 14%. And we are back to where we were on COVID. We're also up 30%. Debt has gone down, as you can see. The investments are still high because we want to invest in the future, and I'll come back to that later. Let's look at sales first and revenue. EUR 84.6 billion in revenue. I'll tell you more about 1% for organic growth, 1% for scope, that's negligible and 2% on ForEx, which is nothing. But it is impactful as you will see. The revenue mix has not really changed. My screen is perfectly legible so I'll just go on what I remember. Europe and U.S. are both at 25%, more or less. Asia 28%, slightly lower than last year, which was around 31%. And Japan is up 2 percentage points from 7% to 9%, again because of the way revenue has happened, and I think I'll tell you more about it on the next slide. There we go. Quarter-by-quarter sales and revenue in the various geographies. What can you see? Well, if you look at the left first, the U.S. were slightly up at the end of the year. Not that it is obvious, given the numbers but it is slightly more favorable than at the end of the year, both in quality and quantity. If you look at the numbers at the beginning of the year, they were significantly influenced by Sephora, whereas at Q4, it's far more balanced, Fashion, Jewelry and Sephora, both contribute to seeing our business grow in North America and the U.S. more specific. You can see that in Japan, there's a bit of a slowdown. Is it really a slowdown? I mean, we are up 28% this year and 28% last year so the starting point was high. But it was very high at the end of the year, hence, the only 8% increase. Asia is still pretty difficult all year round. That's true across Asia, including Mainland China. Roughly 10% drop over the year. As for Europe, it's similar to what you saw in the U.S., a slight improvement and at the end of the year, mainly in Fashion & Leather Goods. If you look at the different business groups, well, there again, you have great variety as was the case with the geographies. Some businesses are pretty much at balance. Look at, for instance, Fashion & Leather Goods at minus 1% organic growth, Watches & Jewelry also pretty stable. 4% increase, and that's noteworthy on Perfumes & Cosmetics and even more noteworthy for Selective Retailing. But you have DFS and Sephora that have two very contrasting situations. And then Wines & Spirits, difficult situation. We'll come back to that later, but the organic growth is actually negative 8%. Quarterly trends. Well, nothing really dramatic. On Q4, the numbers are pretty much close to the yearly average. And there's a bit of a dip in Q3, that's particularly true for the group. Wines & Spirits, you haven't got more of a dip. It's just stable -- I mean, not very good down the bottom. Fashion & Leather Goods, you do have the dip. So no major change quarter after quarter but things are improving, especially for Watches & Jewelry, thanks to Tiffany, as Mr. Arnault has said. Before we move to next slide, let me just look at the operating margin by business. As I told you, we had stable revenue, organic and overall. So nothing tremendously bad there, but we have had to look at our costs. And as you will see, our operating costs have increased 2%, which is more than the increase in revenue, and therefore, has led to negative leverage, meaning that the current operating margin has actually gone down more than revenue. So from a management point of view, that was a bit of a dilemma insofar as we could have been more active on taking costs down, and that would have meant that we were saying that the crisis was structural. But it isn't, it is circumstantial and we have to be able to react and we wouldn't want to damage our potential budget or marketing budgets for later. So we have to strike a balance. I think we sort of managed. We have contained cost increase, not quite to the same tune as the drop in revenue, which has led to some profit drops in some businesses but it's not that bad overall. Look at the specifics, Wines & Spirits, the drop is fairly considerable here, minus 36%. This is due not to cost increases. Indeed, our costs for Wines & Spirits have gone down over 2024. But we are seeing a slight drop in volume, a drop in prices, and a drop in mix, which explains this. Then DFS. As you know, most of that business is in Hong Kong and Macau, and that the currency is pegged to the U.S. dollar, high compared to the renminbi, meaning that for Mainland Chinese, there's no point in them going to Macau or Hong Kong to do their shopping. So the sources of revenue have dropped or rather dried out. So DFS had a very specifically difficult year with hundreds of millions of losses on that, which brings me now to the income statement. Trying to show that costs have increased slightly faster than revenue, meaning a drop in margins. Remember, revenue minus 2%. Then gross margin. That was a bit tricky. About 180 basis points, which is a bit more than we had expected. Two factors can explain this. First of all, we haven't or almost haven't increased prices last year so we couldn't offset in gross margin. The increase in the price of -- the cost of labor or input, we weren't also able to drop -- to cover and offset the drop in hedging I don't usually paint this, but the fact is that we usually get profit from hedges and then when that stops, you've increased the prices on your products and offset it. That's what we've been doing for years and years. But seeing as we haven't done this, the ForEx effect is, in fact, particularly negative. The second explanation is that there have been a number of one-offs affecting the gross margin, which explains about half of the gross margin going down. There's one issue that is very technical, you're probably familiar with that. The fact is that the margin on own champagne or grapes is booked the year of the harvest. We didn't have much and therefore not a very good margin and indeed, a negative margin as compared to the previous year so about EUR 100 million. Then a number of provisions had to be booked, not the usual ones about seasonal ones where you're factoring in inventory and some inventory. No. We're talking about a number of other provisions to the tune of a number of dozens of millions, and that has, therefore, had an impact on the gross margin. Then expenses, as I said, on the whole, a 2% increase on expenses for admin and sales. Sales expenditure up 3%. For instance, store openings that have been decided in 2021, '22, '23, and that had now opened and that has contributed to the cost base. Something else. Marketing, we have held back on marketing, bringing down the marketing cost by about 5%. You know the old saying that half of your marketing expenses are pointless but you don't quite know which ones. So we have increased this. General and admin expenses has gone up 9%, therefore, because of a number of nonrecurring events such as the Olympic Games, for instance, but also the LVMH share plan for the employees opened to employees in 2024 and booked here under general and admin. So all of this means that recurring operations profit has gone down 14%. Then there are a number of nonrecurring items. First of all, the restructuring of DFS in Italy and in France with the sale of La Samaritaine [indiscernible] LVMH with significant losses. Then withdrawal from Stella McCartney and then the divestment of Off-White. And there again, there was a significant loss. If you have any specific questions, I can go into greater detail because it's a real accounting loss but not real in terms of cash flow. Financial income, I'll tell you more about that later. Always a great pleasure, isn't it? Income tax is at 28% now. This is in great part due to Japan and the share of Japan in the group's profit because the income tax rate in Japan is slightly higher than the average rates across the board. So we're talking about EUR 6 billion spent in cash, EUR 6 billion every year, roughly. We therefore have to increase, don't we, the taxes on these exporting companies in France. You know what this means? We are paying no taxes. All in all, net profit is EUR 12.5 billion, down 17% on last year, which was a record high year just so you remember. The ForEx impact, exchange rate fluctuations. I told you that we had a bit of a problem offsetting it. But we are talking about EUR 1 billion roughly, which is about 1/3 of our operating profit changes, explained by ForEx. Financial expenses. The debt servicing basically was at 2.7% Last year, about 3.1%. This year, slightly up. Then lease liabilities under IFRS 16, that, too, has gone up because the rates have gone down. I'm sure you understood me or not. Either way, I probably said it wrong. Then ForEx, we've shortened our hedging horizons and bring back together the puts and calls. We've decided, therefore, to bring down the expenses of our hedging, given the level -- the number of currencies has reached, including U.S. dollar and, as concerns, expenses or rather, capital gains are somewhere around EUR 500 million. But it's only latent, not actually booked. We've seen a small increase in inventory, a little drop on the put -- on the debt for Diageo. Everyone's mentioned this, and it's, of course, related to the multipliers in MoÃ«t Hennessy, et cetera. I'll come back to that later maybe. Cash flow. Free cash flow has gone up EUR 3.4 billion despite the drop in profit, which has had an impact on cash flow. Why? Well, because working capital requirements is related to inventory. We had not increased our inventory very much this year. We had the previous year so improvement there. And operating expenses -- or operating investments, rather, have been brought down EUR 5.5 billion, although that was a bit less than expected last year. So for operating free cash flow is up EUR 2.4 billion, always a good thing to have, meaning, as you can see on the next slide, that our debt has gone down from EUR 10.7 billion to EUR 9.2 billion with a ratio of 13%, roughly so fairly low all in all. And then dividend payout. We will be suggesting the general assembly adopt a EUR 13 payout with EUR 7.50 to be paid in April after the interim payment of EUR 5.50 in December. This is a stable level of dividend. We've chosen to keep the dividend stable in difficult times and make the most of plentiful periods to increase the payout. I must say that this is my 86th and final presentation of LVMH results. Thank you.
Operator: Ladies and gentlemen, we're here to answer your questions if you have any. Yes, we need to make sure that we can see you. Otherwise, you are all in the dark. You should give a number to the people so that we know who they are.
Luca Solca: Luca Solca from Bernstein. My question has to do with the cyclical demand performance. You just reported an improving performance in Q4 in most geographies and also an encouraging performance for January 2025. Could you give us more information about the various geographies? What is happening, especially with the Chinese and American customers? Second question about Fashion & Leather Goods. I believe I've read Mr. Guiony's statements in the press. He talked about performance that was slightly better for Vuitton and slightly worse for Dior. Are you fully satisfied with Dior's performance? It looks like the brand is in an inflection period, more than a slight decrease if you see what I mean. And third question, Mr. Arnault, we saw you in the front row at the American President's inauguration. Could you tell us what the group is planning on doing with the U.S. in terms of LVMH business development, in terms of geographical repositioning potentially, putting more focus on the U.S.? Do we have anything to fear in terms of tariffs?
Bernard Arnault: Okay, you can start with the customers, Mr. Guiony.
Jean-Jacques Guiony: Chinese customers so from Mainland China. So for 2024, they remain stable, which is worth noting. Of course, it was positive in H1, slightly as in H2. However, we can see that the situation has been improving in Q4 so it is not outstanding or it's not decisive. It's very difficult to comment the day before Chinese New Year what is going to happen with Chinese customers. You need to be careful. But generally speaking, I'm talking about Fashion & Leather Goods, I should have mentioned. But just for Fashion & Leather Goods, well, customers reported good performance. As for the U.S., we share the same observation, stable customer base for the year, negative in H1 and positive in H2. So here again, say that was a pinch of salt because it's not a major gap. We're not going from minus 10 to plus 20, 25, which would be an undeniable trend. We're talking about small gaps about something that is slightly negative to something that is slightly positive but it's still noteworthy. So Mr. Arnault?
Bernard Arnault: This is what I can tell you about Dior or for the group in general. We are fortunate but this is a result of the work that has been done by our teams, and I would like to congratulate all of them. There are quite a few people from the Maison who work in fashion and who are here in the front row and who are reporting outstanding performances, especially in terms of creativity. So what I would like to say is that we are fortunate in the group because we have the best designers and they are loyal. We keep them in the house for a very long time, which is important because our relationship with these designers goes beyond the traditional business relationship that you can see in some Maisons. And it is the same with our employees. All employees here in the room in the front row have been with us for a very long time, I would say, on average, 20 years. And I must say they're all faring well and they will fare well in the future as well. So this explains the fact that, well, there is a continuity and it is essential. When you have too many changes too fast in this industry, it is difficult. It is challenging. Now back to Dior. Dior is the #1 French haute couture brand. It belongs to a French group and we are looking at our competitors, and it is the Maison that reported the best performance in 2024. I'm not going to give you the figures. You won't be surprised because we only give a global figure. But so in a more challenging environment, we mentioned it several times in my presentation and in Jean-Jacques's presentation. So it is a challenging environment, but this Maison fared best compared to its competitors. And we're hopeful and we're confident. We believe that for many reasons, 2025 is going to see Dior and haute couture and Vuitton as well. The other Maisons are going to change as well. But I am confident. We believe that there are going to be in the spotlights. I am optimistic. We always need to be cautious but I am confident. And I back from the U.S., as you've kindly mentioned. And I saw the momentum of optimism in the country. And after having spent a few days in the U.S., you come back to France and it's a little bit of a shock. It looks like in the U.S., people are welcoming you with open arms. Taxes are going to go down to 15%. The workshop that we can build in the U.S. are subsidized in quite a few states, and the American President encourages this practice. The market is developing fast. Just look at the new store that Pietro opened in New York. It is an outstanding success. Lines 100 meters long. It is exceptional. And yet, it is extremely elitist back in France and you see that taxes are going to go up 40% in companies manufacturing in France. This is hard to believe. So the Made in France is going to be taxed. Well, that's a good way to tame your enthusiasm. What a great idea to encourage people to outsource. I do not know if that's the government's ambition, but this is what they are going to achieve if they stick to this plan. And we did come up with alternatives. But because of the red tape, et cetera, it didn't really work. We should just appoint a person to cut the red tape, appoint a person in charge of efficiency but doesn't work in France. So taxes, I'd rather not say anything about taxes. I prefer to take action quietly, calmly. There you go. Another question?
Antoine Belge: Antoine Belge from BNP Paribas Exane. Three questions on my side. You mentioned a slight increase, a slight improvement in China. Do you believe that this "crisis" is due to the economic environment and more importantly to the real estate market? Do you believe that with the stimulus plan that have been announced, the Chinese government will be able to renew -- to rebuild confidence? Or do you believe that there is a shift in consumption habits? My second question has to do with cost management. Jean-Jacques explained that there was a sort of dilemma or at least two options in 2024 or 2025, I do not know. Given the good figures, the good results of the beginning of the year, are you planning on investing more, continuing investing? Or are you going to have a mixed approach before you know more about this potential acceleration? My third question has to do with Wines & Spirits. You talked about 2 years, you are giving 2 years to the new teams. What are the challenges that this team is going to be faced with in this business group? What were the mistakes that were made in the past and that led to a change in management? Maybe inventory management was an issue. Maybe enhanced competition for cognac and tequila or some brown alcohol, spirits, and for champagne, maybe some sparkling wines coming from other countries. Since Jean-Jacques mentioned it, there were some rumors of divestments of the division. Personally, I don't believe in it, but I'd like to know what is your take on the matter.
Bernard Arnault: Yes, it is not on the agenda. I can't tell you. As for China, I believe that the Chinese government is now aware of the fact that they need to kickstart the economy. The economy needs to recover and therefore, a few plans have been announced to just help the economy. That's the first thing. The second thing, our high-quality products are still extremely desirable in China. People still want to buy our products. The environment was severely impacted by COVID. Then there was a strong recovery followed by another crisis, the real estate crisis. So it's going to take some time. What I expect is to see a gradual recovery so we're going to get back to a normal situation after 2 years. It's not going to happen overnight. In the U.S., well, it's going to be a boom. It's going to take more time for China to recover fully. As for investments, when you look at revenue, well, it's just the end of January. It's not the end of H1. But still, we are still investing. We're still communicating. We organize fashion shows. We have a lot of projects to keep this momentum. And I forgot what your third question was. It was about Wines & Spirits. Yes, no, divestment is not on the agenda. Another question.
Antonin André: Antonin AndrÃ© from Le Journal du Dimanche. We've heard in the news about Tiffany's challenges, financial challenges. What is the financial situation really like? And are you questioning your choices? Any plans to roll out the brand in Europe, for example?
Bernard Arnault: Tiffany was a sleeping beauty. For 10 years before the acquisition, the stock market was booming, but Tiffany remained flat because the results did not go up. It was excellent for the acquisition because we said that we were going to pay a lot for it, but I believe that it was the contrary. Such a prestigious well-known brand, #1 luxury brand in the U.S. was acquired and for an excellent price. But no, once we acquired it, it was a sleeping beauty and we decided to wake her up. And this wake-up call was not welcomed by everyone. When you're used to sleeping for 10 years and you're, all of a sudden, asked to become fierce, and when you are expected to achieve high objectives, some people can't -- well, don't accept that. So you are referring to some negative comments that were made. Unfortunately, we were not able to keep everyone. And in passing, I'd like to mention that Mr. Zuckerberg, who I talked to last week, said that the 5% of least performance from Meta will be made redundant or they will be promoted outwards, so to speak. So we didn't have a choice. At Tiffany, we had to let go some people, retailers, shopper systems, et cetera, they were not happy. So they made -- they misrepresented what happened. But if you look at the figures are very different from what was published in the press, and we are quite confident. Q4 2024, we announced some decreases but there is a 9% increase. Revenue or the profit from last year was double the profits from before the acquisition. Sales in jewelry were multiplied by 4. The Landmark reported an outstanding performance, and it is the #1 luxury store for LVMH Group. So we are very confident. Of course, we still have a lot to do. I'm not going to talk too much about the strategy, but our strategy is about developing icons. We have four icons, four main icons that we are developing, and they are growing substantially. And gradually, we still have a few stores in the pipeline. It requires investments, but every time we open a new store or renovate a store, the revenue go up by 25%. So I am reasonably confident and I believe that what you've read in the press is not necessarily -- does not necessarily reflect reality. Any further questions? Yes.
Edouard Aubin: Edouard Aubin from Morgan Stanley. Regarding the operating income, Mr. Guiony mentioned in the part that for the Fashion & Leather Goods division, if you have a mid-single-digit growth of 4%, 5%, 6%, you would maintain the operating margin at a stable level. I just wanted you to confirm that, confirm this assumption. So regarding the ForEx, you had a negative ForEx of EUR 1 billion, if I'm not mistaken. If there are no major fluctuations in the ForEx, what are you planning on having in terms of ForEx impact? As for DFS, several articles were published over the past few months that mentioned the fact that you are potentially thinking about -- well, you have some strategic decisions to make. So can we expect some major scope modification for the group in the 12 or 24 months to come? So any potential divestments basically?
Jean-Jacques Guiony: So for the margins of Fashion & Leather Goods, I can confirm. I believe that the rate could be even lower. We can control costs based on the revenue. It is all about the timing. Sometimes we are caught -- well, there is some inertia effect that is difficult to manage. But I believe that we'll be able to manage that. The 2025 ForEx impact, you talked about, you said that if there are no fluctuations, did you ever see a year where ForEx doesn't change? So theoretically, there could be a discrepancy. There was a positive ForEx impact last year, less so than in 2023. But if there is a change or an impact, it would not be as big as EUR 1 billion that we had last year. And then a question about DFS and some potential strategic changes. Well, you won't be surprised, but in terms of strategic options, I can't tell you much. I can't tell you anything, sorry.
Thomas Chauvet: Thomas Chauvet, Citi. My first question is the following. Jean-Jacques, you talked about the unusual ForEx impact on gross and operating margin in 2024 because the prices did not increase. Do you believe that the environment changed favorably in the U.S. and in Europe? Do you believe that it is going to offset the impact of inflation on the raw material and labor cost inflation? Or are you thinking at group level about -- are you thinking about the pricing power of the industry? The second question. You are the only luxury group to very only have seen the luxury hospitality as an important department to acquire new customers in new geographies. Could you give us an update regarding the recovery of Belmond, Cheval Blanc, and Bulgari hotels? And could you tell us more about the Chinese as well? We hear a lot of comments about how Chinese customers are changing. They are not necessarily looking for luxury experiences, but they prefer to buy tangible goods instead of paying for an experience. How are you going to address that? And my third question, well is just to wish all the best to Jean-Jacques at, Good luck for the challenges. Thank you very much for your availability, for your professionalism with the analysis that was mentioned by Mr. Arnault. Thank you very much, and I hope I will see you again in the division's vineyards.
Jean-Jacques Guiony: Right. Well, on the first question, we should make sure you distinguish between inflation and the ForEx impact on revenue. Inflation is fairly easy. You just need to increase prices 2% or 3%. It's fairly easy because it's no longer 4%, 5% as was the case in 2021, 2022. So we can increase the prices moderately as we always have. But then there's the very local factor, which is offsetting currency drops by price hikes. We've done that. We did that in the -- in Japan, for instance, last year, but we haven't increased our prices there as much as the currency has dropped. Hence, the ForEx impact. If we had a more serene currency environment, it would be easy. And we would only have to manage inflation and a 2% price increase would be easily put across the world or across the board. Hotels, well, this is an interesting add-on to our luxury goods manufacturing business, insofar as we can manufacture luxury stays. We're quite pleased to see that we started from scratch 10 years ago. Cheval Blanc was launched in Courchevel. And I think nowadays everyone, everywhere tells me and rankings confirm that, that this is the highest, the luxury chain in the world. 5-star hotels. Not bad for something started 10 years ago. Meaning that we will invest as much as we can in that business, nor does it mean that they are as profitable as Vuitton, Dior, or Bulgari. But it does mean that our clients can get a room, experience a stay, take the Orient Express in a slightly privileged environment. It's very much the same environment as you said. It's experiment -- experience-based luxury, not just product-based luxury. Admittedly, as we own many of the facilities, that requires quite a lot of investment, significant long-term investment most of the time, so investments and expenses that are worthwhile. I mean, you know the Cheval Blanc in Paris, it's an extraordinarily well-located hotel. It took us some time to get it up and running. And it's a good way of diversifying our business, which goes along with Vuitton. It's not the same thing but still. And it's true that our customers want to diversify their experience. I mean, when you buy a EUR 50,000 Vuitton case, and that's the entry-level price, you quite like to spend your weekend in the Orient Express from Paris to Venice, stay in the Cipriani in Venice and then go to the Vuitton store. So it's the same environment, the same sense of luxury. And again, we do this with the moderation as we do drink alcohol with moderation. Right. If there are no further questions. No, there are still some. Two final questions here.
Louise Singlehurst: It's Louise Singlehurst from Goldman Sachs, and I always apologize for asking a question in English but there has to be one. Just two follow-ups for me, if I can do, please. Can you talk to us a little bit about your pricing architecture and how you evaluate pricing, particularly across Vuitton and Dior. There's obviously a lot of debate in the industry about pricing. Has it gone too far, but I presume there's more opportunity within mix versus price list. And secondly, I wonder if Mr. Arnault, you spoke about the U.S. and the optimism. When we think about the group in 5, 10 years' time, we've obviously got a very balanced portfolio on the revenue mix today versus pre COVID. How do you estimate that, that will go? Where do you feel most optimism by region over the medium to long term? And before I let go of the microphone, I'll also echo Thomas' comments with regards to Jean-Jacques. A very big thank you.
Bernard Arnault: Price. Well, you have to be very careful indeed. Customers are increasingly aware of the value of the product beyond the price, if you will. Increasing prices is something that is properly understood by clients. The problem is when you increase your prices for no good reason. You have to be able to justify a price hike, better quality, better finish, different materials used. And it is true, and I suppose that's why you're asking the question. A number of houses have unfortunately, and again, not all but some, have increased their prices in a somewhat extravagant manner without really giving any justification or having any justification to provide. I mean, pushing prices up 15% just doesn't make sense if there's no change in the product. And if that happens, then the clients just wonder what's happening and why they're being taken for a ride. You have to be realistic, honest about it and give the clients high product -- high-quality products, justifiable quality and therefore, just affordable prices, and that's what we try and do. And I think we're pretty good at it.
Jean-Jacques Guiony: Louise, on your question about the geographical balance of revenue in the future, well, the current geographical breakdown is pretty good, 25% in the U.S. and Europe and 30% in Asia, with the rest broken down between Japan and the Middle East. It looks good because it means that we still have a good balance when things go badly in one area. So what has to be done now is not so much focused on the geographical balance of the whole group but really do it further brands. Louis Vuitton, Dior, and Wines & Spirits do manage, but we really have to make sure that all of our brands manage to have a balanced presence in the U.S., in Europe, and in Asia. And that's not always the case. And of course, the brands I mentioning are not in the LVMH Group. Last question here on that side.
Juliette Garnier: Juliette Garnier, Le Monde. Can I come back to Tiffany? Could you put an end to the sponsoring contract between Tiffany and Jay-Z, given the civil case that is being brought against him for raping an underage girl? And second question on La Samaritaine. If I understand rightly, LVMH has bought out La Samaritaine 100%. Could you tell us more about what is being said that La Samaritaine shows losses to the tune of EUR 90 million?
Jean-Jacques Guiony: Let me start maybe with that last question. I have no idea where that number, figure comes from. It's entirely preposterous. The operation, the management was mainly focused on Chinese customers, and we are taking it out of the DFS Group, to put it in very much to have a broader opening on a broader customer base. But no, there's never been EUR 90 million losses.
Bernard Arnault: As concerns the unfortunate incident that you mentioned, namely Jay-Z being charged or accused of these facts, I must say I do not know where the proceedings have got to. And as far as I can tell, until he is innocent until proven guilty. Also says Mr. Bianchi, the contract lapsed in 2022. Well, thank you very much. [Statements in English on this transcript were spoken by an interpreter present on the live call.]